Operator: Good day, and welcome to the Full House Resorts Third Quarter 2017 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Lewis Fanger, Chief Financial Officer of Full House Resorts. You may begin.
Lewis Fanger: Thank you. Good afternoon, everyone. Welcome to our third quarter of 2017 earnings call. Before we begin, as always, we'll remind you that today's conference call may contain forward-looking statements that we're making under the safe harbor provision of federal securities laws. I'd also like to remind you that the company's actual results could differ materially from the anticipated results in these forward-looking statements. Please see today's press release under the caption Forward-Looking Statements for the discussion of risks that may affect our results. Also, we may make reference to non-GAAP measures, such as adjusted EBITDA. For a reconciliation of those measures, please see our website as well as our various press releases that we issue. And lastly, we're also broadcasting this conference call at fullhouseresorts.com, where you can find today's earnings release as well as all of our SEC filings. And we also just posted a few minutes ago some slides as well about Bronco Billy's and our proposed expansion there. With that all said, are we ready to go, Dan?
Daniel Lee: Okay, you're turning it over to me. Okay. It was a good quarter. Let's address that first. It was a good quarter operationally. We had a lot of stuff we were finishing it up, but most of it wasn't really open until late in the quarter and nevertheless, we did pretty well. Silver Slipper was up. It appears to be up a lot but a lot of that increase was really settlement of the parking garage litigation. I don't want to go back on that and it was up even without that, and it was up even without that despite two hurricanes that happened in the quarter that didn't actually hit us, but one of them veered west of us and the other one veered east of us, and certainly distracted our customers over those weekends where they were watching those things happen. And then we had a third hurricane that fell in October, which would be in the fourth quarter, which affected us in October. But fortunately, none of them damaged our property and we did fine. And the earnings were up despite that. The parking garage litigation has gone on for years. The parking garage at the property was apparently originally built 10 or 12 years ago without the appropriate amounts of rebar in it. That was discovered sometime before Lewis and I came to the company and remedied -- cost a couple million dollars to fix it -- and then there was a lawsuit started against the architect and the contractor and that went on forever. All the time that was happening, we were expensing the legal fees related to that lawsuit and so in the past, when you saw EBITDA or adjusted EBITDA that was after the expense of the legal fees. And so we finally got it resolved and to be consistent with what we did in the past, the settlement is also in the EBITDA. But it's obviously not recurring. We don't expect to have a legal settlement every quarter and so if you back that out, you'll see we were still up over the prior period. The Oyster Bar helped and the new pool, which opened a little late in the quarter, also helped. But Silver Slipper is doing just fine. And then at Bronco Billy's we had a good summer. We opened the Crippled Cow earlier in the summer. The Crippled Cow is doing very well, though it's small. I think Bronco Billy's is doing well on its own and so it did just fine and was up. We would have been up at Rising Sun as well, but we had a little slip up in the marketing office in September where we sent out quite a few more coupons than we intended to, to about 1,200 people and it ended up being about $400,000 of additional coupons. And we kind of held our breath wondering what that was going to do and I think our analysis at the end when we're all done was that that money came back to us and the people played about as much as they would have otherwise. So it probably didn't cost us that much. It might have cost us a little bit, but it certainly had our attention for a while and we're now putting controls in place to make sure that can't happen going forward. And we send out, as most casino companies do, a very large number of coupons every month. Rising Sun, for example, is $1.2 million of coupons every month. In September, we suddenly sent out almost $1.6 million of coupons accidentally. But it seems to have worked out okay. It actually was kind of an interesting market experiment, if you will, and sure enough, the money came back to us. But that was Rising Sun. And Northern Nevada, where we renovated the highest casino at the beginning of the quarter, I'm a little disappointed it didn't have a stronger summer. I think that may reflect just there's only so many people in town and no matter how nice you make your casino, it's not going to change it. It is much nicer than it used to be and as part of that renovation, we got a 5-year extension on the lease, which was pretty important. And most of the refurbishment was actually paid for by us. Nevertheless, we're doing fine there. I just would have hoped for it to do a little better. A lot of exciting stuff going on. The Corps of Engineers I think is finally about done with their process and we hope to get a permit in the next couple of months to build the roads and ramps for the ferryboat at Rising Sun. Hope to have it up and operating in the spring. The tugboat part of the ferryboat is already in a shipyard in Cincinnati and the barge itself should arrive in mid-January so they get put together. And so we'll be ready to go in the spring we hope. The RV Park, which opened late in the summer, therefore we didn't want to spend too much on advertising because we knew we were going into the offseason. Nevertheless, it's getting 25, 30 RVs on weekends now and out of 56 spaces it has. So I think it bodes very well for next year. It's kind of winding down the RV season now. The Christmas Casino just opened on Friday. It's our annual promotion there and it looks great. I suspect it will probably do well this year again. And then we've got the refurbishment coming for the pavilion and the hotel quarters, and the hotel lobby. All of that will go into place in the first part of next year and we have the Friedmutter Group working on plans for refurbishing parts of the casino and some of the food and beverage facilities. So a lot of exciting stuff going on there. Anything else in the quarter? Looking back, I think that's pretty much it.
Lewis Fanger: No, that's everything, Dan. The only other thing I was going to add, Dan, is that renovation at Grand Lodge, we do get excited for what we think it could bring in the wintertime. In the wintertime, we have guests that are coming where they ski all day and they eat all day and sit by the fire and the casino is second or third fiddle to all that. But now, the look of that casino as you walk into that front lobby is, as Dan mentioned, quite different and I think that hopefully will bring in a few more people in that winter season.
Daniel Lee: And you'll notice, we do generate cash and cash flow and so we're funding all of this stuff, but we've also built up some cash balances so our net debt is down to about $74 million now, which keeps going down a little bit every quarter. So then, we get to Bronco Billy's and during the quarter, we acquired some land and we got options on other land to fill out a site and meanwhile, we've been working on a design for Bronco Billy's. And the key thing to understand here is that the state of Colorado legalized casino gaming 25 years ago but did so with a $5 maximum bet. It was a very low maximum bet and so casinos really couldn't do what we normally do elsewhere, where you build a nice hotel and operate some nice restaurants, and you offer to comp rooms, and comp meals, and all that stuff. If somebody is only betting $5 a hand, they'd have to play more than 24 hours a day to justify comping them a nice hotel room. And so the hotels that exist in Cripple Creek are either heritage bed and breakfasts, and a few of them are nice but they don't have very many rooms, or they're cheap motels that were built in some cases by a casino, in some cases not to rent rooms for $35 a night to a slot customer who was a pretty low end customer in that market. All of that changed a few years ago when the state changed it to a $100 maximum bet. So a twentyfold increase in how much people can bet changes the economics rather dramatically and Craig Nielsen and Ameristar figured that out and built a $300 million 530-room hotel in Blackhawk, which is very, very successful and we think the EBITDA at the hotel is in the ballpark of $70 million now. And the Isle of Capri a block away is about $35 million, and there's another place called The Lodge that does in the low 30s, and the Monarch Casino does pretty well and they're now building a big addition with 500 rooms and so on. And now, Blackhawk is to Denver. It's an hour west of Denver and we are to Colorado Springs. Cripple Creek is an hour west of Colorado Springs. Denver has about 4 million people and Colorado Springs has about 1 million people. So you would expect there to be a 4-to-1 ratio in the gaming revenue and there isn't. There's a 5-to-1 ratio in the gaming revenue, meaning that the people in Denver are gambling more per capita than the people in Colorado Springs. And in fact, the win per slot machine per day is quite a bit higher in Blackhawk than it is Cripple Creek. And I think that reflects the quality of what's there. The total profits in Cripple Creek are about $20 million a year. It comes out of the Gaming Commission puts out in aggregate income statement of all the casinos in the market whereas in Blackhawk, it's almost $200 million a year. And that just reflects the quality of what's there. Cripple Creek has not responded by adding anything since 2008 and even what was added in 2008 wasn't very special. So we think that's an opportunity. There are wealthy neighborhoods in Colorado Springs around the Broadmoor, for example, which is one of the largest 5-star, 5-diamond hotels in the world, and around the Garden of the Gods neighborhood, all the West Side, the North Side of Colorado Springs as wealthy. And in general, we don't see those people very much because there aren't places to stay. You drive an hour up into the mountains and you'd prefer to stay the night in a lot of cases and just the product isn't there. And so we think that's an opportunity. And by the way, even the Denver numbers are low. The gaming per capita in the Denver market is about $175 a person and in Colorado Springs, it's about $145 a person. The U.S. average is $201. Kansas City is like $400. The state of Washington is $360. And the State of Washington is tribal casinos and in most cases, you're going to drive a ways to get to those. So it's similar to Colorado where you have to drive a ways to get to them. But the quality of the tribal stuff in Seattle is pretty good. There's some very, very nice casinos up there built by the tribes that are equivalent to the Ameristar and Blackhawk. Whereas in Colorado, the Ameristar stands by itself. There really isn't anything else like that. I think Monarch will be like that but in terms of amenities, they stand-alone. And so we see an opportunity to build a 4-star, 4-diamond place in Blackhawk, not as big as -- I'm sorry, in Cripple Creek -- and not as big as the stuff in Blackhawk just because Colorado Springs is not as big as Denver. But something with 150 rooms, so call it a fourth the size of the Ameristar. We will renovate our casino as we do that. We add a 400-car parking garage. We don't have a parking garage now. Frankly, we could use a parking garage as it exists but certainly as we build this hotel, we're going to use up a lot of our surface parking and we'll replace that with a parking garage. And then we're building pretty significant convention and meeting room space to help fill this hotel in the off-season and midweek, but also to have a place to have a New Year's Eve party for the casino. So we have a large ballroom component that will be tied all together. And so we don't have yet a firm number from the contractor. We're working on that with a contractor, but you can get a rough idea. It's 150 guest rooms. Four-star hotels cost $200,000 to $250,000 a room. A 400-car parking garage probably costs $10,000 to $12,000 a space. So meeting room space, renovation of the casino, exercising the option. It all gets you in the ballpark of $60 million to $70 million. And we think when we're done, gosh, we ought to be able to earn half of what the Isle of Capri does in Blackhawk or something like that. So we think we get a pretty good return on the incremental investment and we make Cripple Creek a stronger town. And it's not a market share game. I don't think we hurt anybody else in town. I think we grow the market that we account for that growth and we help make the town stronger and the destination stronger. The land we've assembled has two public rights of way that cross it. One is Second Street and the other is a public alley and there's also two old buildings. One is our maintenance shed and the other one is a little yellow house that we will need permission to tear down. Neither one of them is really historic, even though they're in the historic district and even though they're old. In fact, if we wait long enough they might fall down. And so we are dealing with the city. Met with them yesterday, with some of the staff of the city to start that process and that discussion. We have a transportation study that shows that that block of Second Street gets very little traffic. And even with the traffic generated by the new hotel, the other streets have more than adequate capability and so we'd like to be able to close Second. There's a lot of precedents on that but one I can point at pretty easily was the Golden Nugget in downtown Las Vegas quite a few years ago. When Steve Wynn was expanding it, he asked the city to close Carson Street because otherwise it was going to be very complicated to try to have people stay in a hotel on one of the street and then transport them up over across the street and down, exactly the same issue we were facing here. And ultimately, his solution was to get the city to close Carson Street, which they did, and then he went ahead with expansion, which helped save downtown Las Vegas, frankly. And I think we'll probably get there as well. But that's the next step is I want to make sure that the city will close Second Street before we turn the architects on to do more detailed drawings, which gets into a bigger number. If all goes well, we could be under construction inside of a year and open 2 to 3 years from now. Haven't yet figured out how we pay for it. We do generate excess cash flow, as I've mentioned earlier, and you can borrow a significant chunk of a project like this. But I know my experience has been if you have a project that makes strong economic sense, the financing is available. It's just a matter of doing the arithmetic to figure out the best way to do that for shareholders. And you'll see if you look at the investor high point presentation, and we have a bigger thing we did for our employees and for the city called the Case for Cripple Creek. And we pulled out of that the most relevant information for investors and both of those on our website and if you look it over, you'll see it's a very strong case that this investment should work in that market. And so we're excited about it. Anything else, Lewis? I think that's all we're ready to talk about at this point. Okay, happy to take questions now.
Operator: [Operator Instructions] And we'll take our first question from Chad Beynon with Macquarie.
Chad Beynon: Wanted to go back to Cripple Creek here for a second given that this could end up being a transformational construction project here. So after you succeed on getting the financing and moving forward on the project, if you can hit the returns that you outlined in your prepared remarks, what does that mean for the rest of the portfolio and just Full House going forward? What's the best way to manage the portfolio given that you'll be spending so much time on this project and the absolute EBITDA will be significantly greater than everything else? And could some of the other properties be sources of capital or do you intend to just raise the financing through standard project financing? Thanks.
Daniel Lee: I don't think we have to sell anything to get the financing to do this, if that's what you're implying by that. Right now, Bronco Billy's is our number 2 earnings generator after the Silver Slipper. I think with this expansion, it would become number one, though the guys down in Mississippi might give them a run for their money. But we're a 4-horse company right now. We've got Silver Slipper is first, Colorado second, Indiana is third, and then Northern Nevada is fourth. Now, I think Indiana will get a nice jump with the ferryboat next year, but it's still probably going to be third. And then Bronco Billy's with this expansion will become first. We're a small company but we're pretty diverse and I don't think that changes. We do - the hotel at the Silver Slipper is now running 90% occupancy, so we have been scratching our heads trying to figure out if it would make sense at some point to add another tower there and it probably does but that's a ways down the road. And one of the nice things about it being a relatively small company is Lewis and I know the properties pretty well. It's not that hard to keep on top of it. I think at Pinnacle, we had a dozen properties and that get a little complicated sometimes. But for example, we fly out and have Christmas dinner with the management team of each property generally and I think in the last week, most months I'm at just about every property. And so it's not that hard to stay on top of it and it's actually kind of fun. You really are on top of it.
Lewis Fanger: There isn't a month that goes by, Chad, where one of us hasn't been to one of those properties. When we first got here, Chad, the company was sitting at $10 million a year of EBITDA and we were scratching our heads as to how do you double this company in size. And we've basically done it. And since then, we've been scratching our heads again trying to figure out how do you double it again and do it in a smart way, in a way that benefits shareholders and everything else. And this, quite frankly, I think it's an easy project to understand in terms of the return profile and we're very excited to figure it out. We've had some preliminary talks with lenders about ways to get it financed. I'm less worried about that side of it.
Daniel Lee: There were two very complicated things that we did over this past year and it did take a fair amount of time. One is this is a very old town. And so it was carved up when it was created in the 1890s into little itty-bitty pieces. And it took some time for us to kind of assemble this piece of land, and you'll see on the website that one of the things that has an aerial photo and it shows there's a solid line around what we owned or what we acquired, I guess, back when we acquired Bronco Billy's and then we picked up two parking lots, and then there's a - we have options on three pieces all from the same individual and it's the Imperial Casino, the Imperial Hotel, and then a little yellow house. And part of the reason we did that was there's some excess land there too that allows our parking garage to be bigger and more efficient. But the Little Imperial Casino is actually on a key corner in town and it's the corner where we would need people to turn right to go to our self-parking garage. We think we can make money reopening that casino on that corner. And we've already talked to the Gaming Commission about operating it as a satellite from Bronco Billy's, which was key, we didn't want to have to open a separate security office and separate accounting office and all that stuff. And the Gaming Commission said that they're okay with that as long as we tie it in with fiber optic lines and so on. So we actually opened up an additional casino with probably about 150 to 170 slot machines in it. And then there's a historic hotel there with 12 guest rooms. Originally, this building had very small guest rooms and bathroom down the hall. And the current owner has converted 24 of those rooms into 12 rooms each with a bathroom and they're very acceptable rooms. They're actually some of the nicer rooms in town and there's ten more of the old small rooms that could be converted into five more new rooms. So this is a historic building with between 12 and 17 guestrooms that we pick up at a pretty reasonable price. And add that to 150 rooms in a new hotel and 14 rooms that are on top of our existing casino that get tied in, in the new complex. We also have ten guestrooms in an historical building a little ways away. Those rooms are very small and we've designed in the complex that those become the massage rooms in the new spa. And so it took a lot of effort to assemble all of this and we got there. And then the second thing that took a lot of effort is this is a historic town with a lot of guidelines on what should be built, and how it should be built, and they don’t understandably don't want us to plunk down a 20-story tall tower in the middle of town. They want something that would fit into the town. And so we went through alto of effort with some very talented architects and designers to design something that complements the town that we think will be well accepted and I was in Cripple Creek yesterday showing it to our employees and to the staff of the city. And I don't think I heard one negative comment. Everybody looked at it and said this is great. It fits into the town. It doesn't change the skyline and so on. And that was I think we had 18 different iterations before we got to this one. And yet, from a customer point of view, it works extremely well. You pull into a rival courtyard. You get out. We valet park your car. We have a special tunnel through the building that gets you there that gets the car to valet parking. As you walk into the hotel lobby, you can turn right, walk right into the casino. It's all on one level. If you self-park it's at the back, big parking garage. You get on an elevator; it drops you right in the casino. And so a lot of thought to what can be built, how do we get something that is a significant scale and yet have it fit amongst the small historical buildings that were in this town. And I think we've accomplished it. It's not unlike if you go to Williamsburg, Virginia. It's an historical town and yet they have the Williamsburg Inn and they can have some pretty big conventions there and everything, and yet it has that scale of a little historic village. And this is kind of a mountain version of that.
Lewis Fanger: Two other things I'll add there, Chad. One is I think what people forget sometimes is you've got essentially a million people in our target market. We have less than 500 hotel rooms in all of Cripple Creek and so just having more rooms will be nice. But what Dan and I saw, and we were - our jaws dropped from two things. One was just going to Blackhawk and seeing the properties that were making $35 million a year between Isle and the Lodge and looking at Ameristar. It's been a while since we've been there and that made us realize a few new things. But we also went down to the Broadmoor and just spent an afternoon watching the customers there and noticing quite well that none of those customers or customers that you would see in Cripple Creek right now. And if you think about that room quality, there isn't a room product in town right now where you would want to bring your wife for an anniversary or a birthday dinner or any of that stuff. And so there is a big market that's waiting for us to tap. Pretty excited by that. But the other thing that I think you're implying by your question is where are things looking with the refinancing and I don't want to say too much on that yet. But what I will say is, we feel pretty good about our chances of getting something done in the near term and quite possibly before the end of the year.
Daniel Lee: We're not double-parked on that. Our maturity on the bank debt is a year from next May and that could be probably pushed back pretty easily, but if we can refinance our debt at a little lower interest rate, obviously, we'll do so. And so we're trying to figure that out.
Chad Beynon: One of the other things that's been doing on over the past couple quarters, every regional gaming company is saying that there's more out there from an M&A perspective that they've probably seen since before the recession. And I think everyone is trying to adjust their portfolio to have meaningful assets and some of the assets that they may dispose of probably sit into your wheelhouse a little bit better. So I'm sure you've seen some assets out there. Could you do both? Have you looked at some of these? Does it make sense to add on another property while you're going through this process? Just maybe help us think about if you can do both at one point and if you're seeing anything out there that gets your interest. Thank you.
Daniel Lee: Well, first off, we come to work every day saying don't screw this up. The management and the Board own 20% of the stock.
Lewis Fanger: 13% outright without options.
Daniel Lee: And then with options it gets up into the high teens and it's a significant investment for us. And if you just forecast, even if we don't build in Cripple Creek, if we just continue to improve what we have and we finish the ferryboat and some of that stuff, the company's EBITDA pretty easily could get to the mid-20s and our debt continues to ratchet down and you kind of forecast where the stock price could be. And as well as the stock has done, it's still got a lot of upside. And so we start with let's not screw that up. And then you figure out something like this thing in Cripple Creek. Please take a little time and look through some of our numbers and you can see this is not even a close call. This is a hotel that will get a really good return on investment. And then you get comfortable with that and saying, okay, we can do this. Now, obviously, we want to get a guaranteed maximum price out of a reliable contractor. We're dealing with the Yates guys who are fantastic, who have built probably more casinos outside of Las Vegas than anyone else. And so we want to take some of the risk out of that and that creates even more upside in the stock. And then finally, yes, there are deals out there. There's a lot of deals out there. There's got to be at least a deal a week out that I'm shown and looked at. Gone and visited everything else and you have to look at a lot of bad deals before you find a good one. And we don't really have to do a deal. And we don't want to put the company at risk to do a deal, but if we see something that makes sense, sure, we can do it. I mean we have the bandwidth to do it and frankly, we have pretty good management debt out of the properties if we need to borrow somebody from one of the properties and put them in somewhere, we could do that. So we do look at a lot of deals. We're just pretty picky about it and pretty careful about it because we don't want to mess up what we think is a pretty good company. Operator [Operator Instructions] And we take a question now from Jim Devlin with Henley and Company.
Jim Devlin: Since I guess the last time we talked and it's clearly at this point Mississippi is still the number one EBITDA generator of the company, we've seen oil, West Texas and Intermediate move from $44 a barrel to, say, $57 and clearly, oil predominates the payrolls in the Gulf region. It's only moved up relatively I'd say the last three weeks, months or so. How does that translate on the floors down there?
Daniel Lee: Well, you're correct that the higher priced oil was probably a plus. But it's a little early to know and this time of year, you kind of feel like the lead bowling pin and God's rolling balls at you, coming down as these hurricanes come through and that's been a much bigger distraction. The other thing is some of the least expensive oil is the stuff produced in the Gulf of Mexico and in Texas in particular. And so I think as the price of oil fluctuates, it affects places like Wyoming and Alberta more where there are high costs to operate oil shale fields and some of those other things that are up in the Arctic. And so when the price of oil falls, the place where they stop producing is where it's most expensive to produce and so the impact of the fall of the price of oil hasn't been all that bad along the Gulf. So I wouldn't expect a huge recovery from an increase in the price of oil. But you are correct that higher price of oil is good for the region. But I just don't think it's been material enough for us to see it.
Jim Devlin: Congratulations on having the foresight to make or potentially make the investment in Cripple Creek. Actually, readying today's Colorado Springs Gazette, they're now forecasting Colorado Springs to become Colorado's largest city over the next several decades. So clearly, obviously, you're hoping that to be the case based upon the state demography office.
Daniel Lee: I saw that article and I think you have to read it pretty carefully because when I refer to Denver, I'm always referring to really the Denver MSA, the Metropolitan Standard Area, which includes Boulder, and Fort Collins, and lots of other places, Bloomfield. And that population is about 4 million. And I think that that office is saying the city limits of Denver, which is a small part of that MSA, and Colorado Springs is going to exceed that in population. But it doesn't matter. They're both growing like weeds. The fastest growing cities in the country are in Texas, followed by Florida, followed by Colorado. And in fact, the population of Denver, the Denver MSA between 2010 and 2016 grew by 400,000 people. That's the population of Reno. It's like everybody in Reno picked up and moved to Denver, right. And you think of how many casinos are supplied by the population of Reno. Even in Cripple Creek, since the Wildwood opened, which was the one that opened in 2008, 100,000 people have moved into Colorado Springs, right. And so we're on the edge of one of the fastest growing metropolitan areas in the country and you see it. If you go driving around Denver, driving around Colorado Springs, there are housing developments popping up everywhere. Unemployment rate is like under 2%. In fact, that's one of our biggest challenges is going to be finding the workers to build this thing because everybody is building everything and that attracts still more people. So we're hoping this wall doesn't get built too fast because we're going to need workers to build this casino and - I'm being facetious, but it is definitely a booming part of the country and I think that's a nice tailwind for us.
Jim Devlin: Looking at the architectural renderings, I don't want to put the cart in front of the horse, but you came out with a 150-room presentation. It looks like there's more room, if it was successful, that you'd have more room to expand. Is that - if it were successful and it fed on itself, do you envision to have more land to add more rooms down the line?
Daniel Lee: We have designed it so it could be expanded.
Jim Devlin: By how many more units? Could you guesstimate?
Daniel Lee: I don't want to guesstimate but as we know exactly where we could put additional phases later to prove to be acceptable.
Operator: Our next question comes from Gary Ribe with MACRO Consulting.
Gary Ribe: I just wanted to -- great news on Cripple Creek. I was just curious if - I don't know if you mentioned this at all with respect to the Indiana property. You guys are constantly looking for new places to put the spare capacity, if you guys have anything in the hopper there.
Daniel Lee: We have definitely not given up on that. The legislative session starts in January. This year, they have a long legislature short legislature system there. So we're coming up on a short year where they're only supposed to address budgetary issues. We believe that the representatives from Terre Haute will probably introduce the measure anyway but it's much harder to get it passed in a short session than in a long session. And so I think it's more likely a major topic of discussion in January of 2019 and I do think it will eventually happen. I just don't know when. But the state has some fiscal issues and they've got their slot machines in the wrong places, and frankly, we've got the strong support of the Terre Haute community and we'd be excited about trying to build something there. And I think eventually, we have a good shot at that happening. But it's not imminent. The same way we talked earlier that down at the Silver Slipper, I think that property can support another hotel tower at some point and we're in the very early stages of trying to figure out how to do that. It takes some work with the state to do it but it's a long ways down the road. But we wouldn't be doing our job if we weren't thinking about the long-term plans as well as the medium term plans.
Operator: That concludes today's question-and-answer session. Mr. Daniel Lee I'd like to turn the conference back to you for any additional or closing remarks.
Daniel Lee: I don't have anything. You got anything, Lewis?
Lewis Fanger: No, thanks as always.
Daniel Lee: Thanks everybody for their support. Take care.
Operator: Thank you. This does conclude today's presentation. We thank you for your participation.